Operator: Hello ladies and gentlemen. Thank you for standing by for KE Holdings, Inc. Second Quarter 2024 Earnings Conference Call. Please note that today's call, including the management's prepared remarks and question-and-answer session will all be in English. Simultaneous interpretation in Chinese is available on a separate line for the duration of the call. To access the call in Chinese, you will need to dial into the Chinese language line. At this time, all participants are in listen-only mode. Today's conference call is being recorded. I'll now turn the call over to your host, Ms. Siting Li, IR Director of the company. Please go ahead, Siting.
Siting Li: Thank you, operator. Good evening and good morning everyone. Welcome to KE Holdings Inc., or Beike's Second Quarter 2024 Earnings Conference Call. The company's financial and operating results were published in the press release earlier today, and are posted on the company's IR website, investors.ke.com. On today's call, we have Mr. Stanley Peng, our Co-Founder, Chairman and Chief Executive Officer; and Tao Xu, our Executive Director and Chief Financial Officer. Mr. Peng will provide an overview of our strategies and business developments and Mr. Xu will provide additional details on the company's financial results. Before we continue, I refer you to our safe harbor statement in our earnings press release which applies to this call as we will make forward-looking statements. Please also note that Beike's earnings press release and these conference calls include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Please refer to the company's press release, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. Lastly, unless otherwise stated, all figures mentioned during this call are in RMB. Certain statistical and other information relating to the industry in which the company is engaged to be mentioned in these calls has been obtained from various publicly available official or unofficial sources. Neither the company nor any of its representatives have independently verified such data, which may involve a number of assumptions and limitations, and you are cautioned not to give undue weight to such information and estimates. For today's call, management will use English as the main language. Please note that the Chinese translation is for convenience purpose only, and in case of any discrepancy, management statements in their original language will prevail. With that, I will now turn the call over to our Chairman, CEO, Mr. Stanley Peng. Please go ahead, Stanley.
Stanley Peng: Thank you, Siting. Hello everyone. Thank you for joining Beike's second quarter and interim 2024 earnings conference call. In the second quarter, we continued to outpace the broader market. Since the beginning of the year, we have made strategic efforts to boost growth, foster our ecosystem, and transform our business into a technology-powered, one-stop residential services platform model. These efforts have paid off, and we achieved high quality performance across the board. A set of supportive policies both generated the overall market recovery in the second quarter. Notably, the existing home market, especially in fourth tier cities, rebounded sharply in May and June. Our home transaction business performed well within this favorable market environment with both our existing and new home transactions surpassing the broader market performance. More specifically, in May, existing home transaction on Beike's platform saw positive GTV growth compared to the previous years. And in June, growth surged by nearly 70% year-over-year. According to the estimate from data disclosed by the housing bureaus and housing associations of the four first tier cities, the total number of online, restricted transactions for existing homes grew by around 16% year-over-year in the second quarter of 2024. For reference, while online restorative transactions on Beike's platform grew by 40% year-over-year, for new home transactions the contraction rate on Beike's platform narrowed to 25% year-over-year in May from contract transaction value. And in June, GTV turned positive with the contract transaction value growing over 12% year-over-year. For second quarter, GTV or CRICs top 100 real estate companies declined by 35% year-over-year, while GTV contraction of Beike's platform narrowed to 20%. The improvements in the second quarter this year were partly due to the warning efforts of the high base we saw in the fourth quarter. More importantly, our scientific management and proactive operational initiatives focused on improving our performance against internal bench markers, underpinned our ability to outperform in a relatively stable market. I'd like to share some color on our existing home business. In 2024, we have placed more emphasize on our operations in scaling up store and agency networks. Enriching community outreach and managing key housing projects to broaden our customer base and home listing coverage. Since the end of 2023, our platform has seen a net increase of over 2,400 active stores, or a 6% increase and a net increase over 40,000 active agents. As we expand our touchpoints, we are also putting more effort into high quality [Technical Difficulty] management, concentrating on quality home listings and exploring different ways to tap into new media-based opportunities for customer acquisition and conversion. All these initiatives have improved customer and home listing conversion rates. We also boost collaboration efficiency with efforts such as region-based core governance communities, and reinforce business conduct governance by preventing private, offline deals, improving closed loop management on our platform. On the new home business front, we doubled down on our efforts to increase number of cooperation projects and strengthen our sales conversion capabilities. In terms of expanding our co-operation with more new home projects, we established an end-to-end monitoring process for all projects, and are focused on managing key housing projects and developers to improve the quality of new home projects. To improve sales conversions, we overhauled our sales process this year. Our approach to new home sales used to be a huge crowd strategy, that focus more on properties than customers. This year, we are adopting a more precise approach driven by customer demands. In addition, we started monitoring and analyzing conversion day from our co-operation with upstream and downstream value chain partners on a daily basis. We also deliver impressive results in our non-home transaction business, or home renovation and furnishings and home rental services. Despite the challenging market, in the first half of the year, revenues from our home renovation and furnishings business and home rental services grew close to 60% and 177%, respectively, compared to a year ago and gross margins continue to improve. In fact, this year, we intentionally slowed down or slowed our pace in the home renovation and furnishing business against the rapid growth in scale we achieved last year. To give you a bit of a context, when exploring new business within a big organization, building confidence in the business viability and continuity is the first and the most important challenge. That's why last year was all about accelerating our skill, where we have succeeded without compromising quality or reputation. This proves the business was viable, making a crucial first step. However, if you run too fast, you risk sacrificing quality and losing customers' trust. How to balance scale and quality, and build trust is the second challenge to developing new business. Having confirmed the business's viability with last year's strong performance, we slowed down this year, to make sure we are growing in the right way, but addressing the second critical challenges. This year, we have been focused on two areas. First, we enhanced our capability to deliver comprehensive well-thought full-service solutions. This includes improving our development of full-service complete renovation products. Our management capabilities with service providers, supply chains, and the integrated delivery, as well as building the corresponding system infrastructure. Second, we activated and promoted the Home SaaS 2.5 system. We integrated this well-through full service capabilities we developed in Beijing into Home SaaS 2.5 which can handle up to 5,000 simultaneously construction orders. We also iterated the BIM SSC, middle office and the integrated material fulfillment model. Our goal this year is to roll out these advanced capabilities nationwide through the Home SaaS 2.5 system. This year, we continue ramping up our ability to connect new suppliers on our platform. The number of stores for our housing transaction services is steadily increasing, and the number of service provider for our new initiatives is also growing rapidly. Without these new suppliers, our customers will face limited options, and our source capability could be constrained. Expanding supply also inevitably forces us to consider how to best -- how best to manage it, ensuring their quality and improvement. Our biggest challenge is to leverage certain rules to help these supplies achieve better outcomes. We view these supplies on our platform as targets for transformation, not monetization. This to say, once the suppliers, including service providers, join our platform, we must enhance them. As a result, we are consistently investing in training for stores, operators and implementing robust operations for home listings, customer engagement and our ecosystem to enhance resources conversion efficiency. Regarding our new businesses, we have made significant effort to reform the incentive mechanism for service providers through rule based order, dispatch and service provider rankings. By fostering a transparent and a benign competitive environment, they ensure resources are allocated more efficiently to the most capable talent. In the next era, customers will become more selective about services, allowing high quality service providers to stand-out and service variance will decrease. Customers needs will be more diverse and new, more segmented needs will emerge. These two points guide our efforts to upgrade our products and services and deepen our operations. This remains tremendous potential for growth and efficiency improvement in both our relatively mature housing transaction services, and our emerging business ventures. One solution is to focus on community-based business. By leveraging in depth community knowledge and understanding residents' profiles and their needs for home purchase, rental and renovation, we can offer more targeted products and services. This approach will lead to change in customer acquisition channels, organizational structures and supply chains, allowing us to differentiate ourselves from the traditional residential industry. More importantly, these changes will help us build trust in our low frequency transaction industry. The key to community based business is high service density. To that end, we launched more stores and organizational innovations in communities this year to increase supply. For example, in Shanghai, we added a number of community convenience service store stations affiliated with Lianjia stores and other cities are replicating this model. Additionally, we are integrating home renovation and rental services with Lianjia stores. We have deployed home renovation expert agents in over 1,200 Lianjia stores and are showcasing renovation technicians and hosting install designers in pilot stores. Our coverage of existing home listing in Shanghai grew from 76% last year to 87% in areas that we operate in, and the revenues from our home renovation and care-free rental business in Shanghai this Q2 grew by 63% and 140% year-over-year respectively. In Chengdu, we piloted our strategy focusing on key housing projects for our home renovation and furnishing business. Our operational team, shifted back to intensive community engagement rather than dispersed services, rebuilding our community based services process and product logic. These pilot projects have demonstrated impressive improvements in conversion efficiency and productivity. In the second half of this year, the external macro environment will continue to pose many challenges to our business. Faced with these challenges, our core goal has always been to build capabilities that will keep the organization constantly moving forward from one success to the next. Over the past month, we have been fortunate to validate with minimal trail and error, that our home renovation and furnishing model as well as our rental business model can drive growth in our organization. At the same time, our One Body business has shown further growth potential, through proactive market outreach, providing support for store owners and agents to achieve great success. By integrating our new initiatives, we can drive even greater growth. In this context, our next stop -- next step is to address issues related to the appropriate phase of each business, and the balance between scale, quality and efficiency. Thank you. Next, I would like to turn the call over to our CFO, Tao Xu, to review our second quarter 2024 financials. Thank you.
Tao Xu: Thank you, Stanley, and thank you everyone for joining us. Before we dive into our Q2 performance, I would like to briefly touch on some updates in the housing market. In the first half of the year, the central and the local authorities implemented easing policy intensively. This included further relaxing purchase restrictions, lowering down payment ratios and cutting mortgage rates. The real estate financing condition mechanism was established, and put into practice at an accelerated pace. The central bank launched the relending tools to support local SOEs in acquiring existing commercial homes, facilitating the nationwide implementation of old for new housing through various programs. In the first half of the year, the market showed a gradual recovery. Although market performance was muted due to the seasonality at the beginning of the year, all these positive policies contributed to the market's gradual improvements, with the high base effect from early last year records receding. In Q2, the in-home market performed well, especially in first tier and some key second tier cities, where market activity notably improved. The new home market remains gradually subdued even as its year-over-year decline narrowed month-over-month in Q2, with backdrop of an incremental rebound in market sentiment. We continue to uphold a market neutral view and focus on improving our performance by continuously deepening operations, further empowering service providers and store owners and promoting rapid growth of our new initiatives. The combination of these endeavors led to our excellent financial and operating results in this Q2. For Q2, the total GTV reached RMB839 billion, up 7.5% year-over-year. Net revenue was RMB23.4 billion, representing a year-over-year increase of 19.9%. Gross margin improved by 0.5 percentage points year-over-year to 27.9%. GAAP net income reached RMB1.9 billion, rising by 46.2% year-over-year. Non-GAAP net income grew by 13.9% year-over-year to RMB2.69 billion. Both revenue and non-GAAP income exceeding market consensus. Moving to our home transaction services for Q2, as the overall market gradually recovers alongside our strong operational growth and the store network function this year, our existing and the new home business both demonstrated outstanding performance. Revenue from existing home transaction reached RMB7.3 billion, up 14.3% year-over-year, and a 28.1% quarter-over-quarter. GTV was RMB570.7 billion, increasing 25% year-over-year, and 25.9% quarter-over-quarter. Our GTV and revenue growth rates were closely sequentially, keeping our monetization capability relatively stable. Year-over-year GTV growth surpassed the revenue primarily due to the adjustment in the commission rate of Lianjia which started in the third quarter of 2023, affecting commission rate for existing home. The contribution margin from existing home transaction services reached 47.5%, climbing 1.9 percentage points year-over-year, under 3 percentage points quarter-over-quarter. The growth was mainly due to the stronger leverage from the increased revenue coupled with relatively stable fixed labor costs. In terms of the new home transaction services, despite the market downtrend, we significantly outperformed the market across multiple metrics. CRIC shows the sales from the top 100 developers decreased by around 35% year-over-year in Q2, but grew by about 38% quarter-over-quarter. Notably, sales in June, dropped by approximately 22% year-over-year, with year-over-year decline narrowing month-by-month. In comparison, our new home GTV reached RMB235.3 billion, grew by only 28.2% year-over-year and rose by 55% sequentially in Q2, benefiting from the higher penetration of the developers of China, deeper cooperation with developers and the increase of collaborative projects, as well as the systematic improvement in our operational and sales capabilities. In particular, the amount of the contracted transaction volume from new home business increased 12% year-over-year in June, and this exceptional performance stands in stark contrast to the industry. Revenue from the new home content service declined by 8.8% year-over-year to RMB7.9 billion, while increasing 61.4% quarter-over-quarter. Year-over-year, the sequential revenue growth outpaced year-over-year GTV growth, once again demonstrating our strong and steady monetization capabilities in new home transactions. The contribution margin for the new home transaction services recovered to 25%, falling by 2.2 percentage points year-over-year, mainly due to the strategic increase in variable commission under our strategy this year to improve our ecosystem. New home contribution margin grow sequentially by 2.8 percentage points as we gained more leverage from the relatively stable fixed labor cost and higher revenue. In Q2, the commission income percentage from SOE developers rose by 55% and the proportion of Commission in Advance project maintained at a relatively high level at 49%. Revenues from the home renovation and furnishing, home transactions services, emerging and other services grew by 85.3% year-over-year in Q2, reaching 34.7% of total revenue, surging 12.2 percentage points from the same period in 2023. Our home renovation and furnishing business maintained a steady growth. In Q2, contracted sales reached RMB4.2 billion, up 22.3% year-over-year. Revenue reached RMB4 billion, rising by 53.9% year-over-year. The revenue growth rate outpaced that of the contracted sales, largely due to the improved delivery efficiency. The contribution market for the home renovation and furnishing business was 31.3%, up 1.7 percentage points year-over-year and 0.7 percentage points sequentially. This was mainly due to the improvements in the gross margins of our retail business. The contracted sales of the furniture and home furnishing retail, which are outside of our home renovation package, reached around RMB1.2 billion in Q2, accounting for around 29% of total contracted sales, improving by 3.5 percentage points from the same period of 2023. Our home rent facilities continue to grow at an accelerated pace. In Q2, its revenue reached RMB3.2 billion, up 167.1% year-over-year, mainly due to the rapid growth in the number of rental units under management. By end of Q2, the number of units managed by our home rental services exceeded 310,000. Specifically, the number of the rental units managed by our Carefree Rent reached around 300,000, compared with around 120,000 in the same period last year as contribution margin held steady at 5.8% from the previous quarter. In Q2, our net revenue from emerging and other services increased by 57.8% year-over-year to RMB874 million. Next, let's move on to our other cost and expenses in Q2. Our store costs remain stable year-over-year and quarter-over-quarter at RMB681 million. Other costs increased by 18.6% year-over-year to RMB511 million, primarily due to the higher taxes and the surcharge and the basic maintenance cost for the rental services. Sequentially, it rose by 34.8%, mainly due to the increase in taxes and the surcharge and the professional service fee. Gross profit rose by 22% year-over-year to RMB6.5 billion. Gross margin came in at 27.9%, up 0.5 percentage points year-over-year. The primary reason for the upbeat was from the higher proportion of the revenue and the increased contribution margin year-over-year in non-housing transaction services business. Our store costs are also relatively fixed, all of which gained a small leverage and partially offset the decline in our new home contribution margin year-over-year. Quarter-over-quarter, gross margin rose by 2.7 percentage points, largely driven by a sequential improvement in the new home contribution margin and an increase in its revenue share. Combined with overall revenue growth and the stable store cost, this further amplifies the leverage effect. In Q2, our GAAP operating expenses totaled RMB4.5 billion, up 5.6% year-over-year and 9.5% sequentially. G&A expenses were relatively stable both year-over-year and sequentially at RMB2.1 billion. Sales and marketing expenses grew by 14.1% year-over-year and 15.9% quarter-over-quarter to RMB1.9 billion, as we invest in the rapid expansion of our home renovation and furnishing expenses, increasing associated sales and marketing expenses. Our R&D expenses were RMB505 million, rising by 6.3% year-over-year and 8% sequentially, mainly due to the increased R&D expenses in our home transaction business. In terms of the profitability, GAAP income from operations totaled RMB2 billion Q2, up 86.4% year-over-year. That follows the GAAP income from operations of RMB11.9 million in the fourth quarter, which increased substantially quarter-over-quarter. GAAP operating margins was 8.6%, an increase of 3.1 percentage points and 8.6 percentage points from Q2 2023 and Q1 2024, respectively. Non-GAAP income from operations totaled RMB2.8 billion, climbing 31% from the same period last year and 193% quarter-over-quarter. Non-GAAP operating margin reached 12%, up 1 percentage points and 6.2 percentage points from the Q2 2023 and the Q1 2024, respectively. The rising operating margin was mainly due to our remarkable operating leverage, which lowered the operating expense ratio. GAAP net income totaled RMB1.9 billion in Q2, showing a 46.2% improvement year-over-year and 339.8% quarter-over-quarter. Non-GAAP net income reached RMB2.7 billion, up 13.9% year-over-year and 93.5% quarter-over-quarter. Moving to our cash flow and the balance sheet. We realized the net operating cash inflow of RMB4.8 billion in Q2. New home DSO was 45 days in Q2, a testament to our effective risk management on top of approximately $100 million allocated to share repurchase during Q2. Our total cash equity remains at a high level of RMB75.5 billion, which excludes customer deposits payable. Overall, our Q2 results showcased our strong execution and ability to outperform the market in a stable market environment. Both our existing and new home business significantly exceeded market expectations. Moreover, our platform's overall monetization capability have remained stable with notable improvement in the monetization of new home. We also saw a significant rebound in the contribution margin of our core business, more impact of the one-time effect of last year's high baseline in the first quarter. Additionally, our non-housing transaction services are rapidly expanding, both our home renovation and furniture and the rental business continue to achieve record highs in scale and revenue. We maintain our commitment to cost efficiency under refined operational measures. Despite double-digit revenue growth, our GAAP operating expenses have remained nearly flat, both sequentially and year-over-year, leading to a substantial recovery with the profitability. With our robust cash reserve, we will continue to increase shareholder return through active share buybacks, further optimizing capital allocation and enhancing capital operation efficiency, sharing the benefits of our developments with investors. As of today, we had repurchased around $480 million worth of shares, which accounts about 2.7% of the company's total share outstanding at the end of 2023. We have consistently delivered on our promise to reward shareholders. Since the launch of our share repurchase program in September 2022, we have repurchased around $1.39 billion worth of the share as of today, which accounts for about 7.5% of the company's total share outstanding before the program began. Today, we are pleased to announce that our Board has approved an expansion of the existing share repurchase program. The amortization has been increased from $2 billion to $3 billion with the program now extended until August 31st, 2025. Going forward, we will continue to reward our shareholders who have grown with us, share the value created by the company. As our business becomes more diverse and expands in scale, we will continue to fortify our fundamental capabilities, while actively and efficiently investing in our infrastructure. Our financial strategy remains committed to a prudent approach and focus on investing in areas that can generate the key business output and long term value. For home transaction services, as we expanded our store network, agents' job productivity will remain our key evaluation metrics. We also amplify the operational and financial capability empowerment and the training for our platform partners to strengthen our middle to back office competency in finance. Our new initiatives, we have built up middle to back office virtualization ability across the board to further improve the automation rate of our financial process as well as our data analysis and the processing capabilities. Simultaneously, we have set the higher requirements for contribution margins and also core financial indicators to advance the long term steady and strong development of our business. Our risk threshold control measures remains strongly in place. This ensures the seeds we plant today will blossom, so that we can share the rich fruits with our loyal shareholders. This concludes my prepared remarks for today. Operator, we are now ready to take questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Harry Chen with Citigroup. Please go ahead.
Harry Chen: [Foreign Language] Congratulations company for quite a solid second quarter result, and also thanks management for taking my question. So with lots of supportive property policies rolled out since second quarter, especially after May 17th, what changes have occurred in the real estate market? Do new home and existing home market show divergent performance? How sustainable are transactions after these policies? And what is your view on transaction outlook in the second half of this year? Thank you.
Tao Xu: Thank you, Harry. Let me answer your question. In Q2, the housing market showed steady month-by-month improvement with an actual boost to in-home transaction volume since the new policy introduced on May 17th. Notably, the in-home prices also saw a narrow decline in June. Although the new home market has yet to show any non-seasonal improvement, the year-over-year sales decline in Q2 narrowed month-by-month. The significant market downturn in Q1 due to the higher base and seasonal factor has gradually faded. Market transactions continue to shift from new homes to existing homes. The proportion of national GTV from existing home transaction has increased from around 40% of total GTV last year to approximately 44% in the first half of this year. Now let me further elaborate. Further policy relaxation continue in the first half of the year, particularly after inventory reduction policy cycle began. Particularly, the May 17th policy package focused on reducing the housing inventory, reviving existing homes under relaxing mortgage conditions with high tier cities continuously relaxing purchase restrictions. Regarding the existing home market, transaction volume in Q2 show notable recovery. Volumes on bigger platform in May and June increased month-by-month, outperforming month by month, outperforming the typical seasonal trend. The number of transactions in June reached the highest level of the same period since 2022 -- since 2020. This rebound was especially strong in the first-tier cities, stimulated by fewer purchase restrictions under relaxed mortgage conditions since the end of May. In June, transaction volumes in Tier 1 cities on bigger platform were 46% higher than in April, and increased 132% year-over-year, especially in Shanghai. Shanghai, registered an increase of nearly 80% from April to June due to the extensive policy easing, reaching the highest peak we have seen since the early 2021. And for Tier 2 and Tier 3 cities, due to the prior rounds of policy relaxation, the impact and the market response to this latest round of policy was relatively limited. Regarding the transaction structure, the demand for the home upgrade continues leading the market, especially in the first-tier cities, where they make up 60% to 80% of transactions. One notable feature of this market recovery is the increase in the proportion of home buying with the rising demand in key cities. Following housing price decline, the ratio of the housing prices to incomes has significantly improved. With lower down pre-payment ratio and the mortgage rate, housing profitability has substantially increased. And the relaxed purchase restrictions, in turn, attracted more first-time buyers to the market. For example, in Shanghai, the proportion of non-local buyers increased from nearly 30% to nearly 40% in June, and the buyers who are single increased by 6 percentage points. This policy has significantly stimulated demand relief within the tough demographics. On home prices, we are also seeing the positive sign despite the ongoing price decline in the single market. According to Beike Research Institute, the pace of month-over-month decline in national existing home prices slowed in June, narrowing to negative 1.2% from the negative 1.7% in May. Prices also stabilized in Tier 1 cities. Housing prices in Beijing and Shanghai increased by 0.4% and 1.2% month-over-month, respectively, in June, and we also slightly improved the second-tier cities. Sellers also become more rational about lowering prices. The proportion of the homeowners rushing to sell at significantly reduced prices decreased by 8% from the March to June. However, most of the potential buyers are still in a wait-and-see mood. Many are hoped to further price decline before entering the market. This market is a significant difference from the market response to the previous policy round in the second half of 2023. Although the existing home market has become more active, there hasn't been a sharp drop in the housing prices. This suggests two things. Firstly, in high-tier cities, abundant demand coupled with improved affordability and the lowering buying cost is driving buyers out of their wait-and-see approach, and into the active participation, which in turn sustains local housing prices. Secondly, the effect of these policies has been validated to some extent, given the cumulative impact of the relaxed policies over the past two years to three years. New home market, the year-over-year decline in new home sales narrowed month-by-month in this Q2, but did not particularly improve overall. CRIC indicates that the top 100 developers sales grew by 42% year-over-year in the first half, narrowing to negative 22% in June. Several factors are limiting the recovery of the new home market. Number one, in the past, existing homes had higher price of tax than the new homes. That is no longer the case. The price advantage of new homes diminished. Number two, pre-sold housing supply couldn't meet demand in immediate housing needs. Number three, the readily available supply of the larger and more luxury new homes did not align with what home buyers with the rising demand in the first-tier cities were looking for. Number four, the surprising flux of the nearly new homes, where it means the new home from a few years ago that are now entering to the single market, they are meeting more of the current market demand, given their close match to the new homes, but with the advantage of the ready availability and the lower prices. With all of these factors at play, more positive forces are needed for the stabilization and the recovery of the new home market. Regarding the outlook for the second half of the year, starting from July, the volume of existing home transactions declined due to the combined effect of the policy impact, [winning and] (ph) seasonal summer factors. The effect of the policy lasted about two months. In first-tier cities, the transaction volume in July remained about 5% higher in April, while year-over-year, there was still significant growth. In the last week of July, the transaction volume was over 30% higher compared to the same period last year. In July, the existing home price continued to drop, while the month-on-month decline in the first-tier cities narrowed compared to the period before the policy implementation. For the second half of the year, as the higher base effects diminished, the existing home market decided to remain stable. Transaction volumes in first-tier cities are likely stabilized after a spike-like recovery, providing some support for the prices as well. However, expectations for the further price drop and the various cultural sentiments may still constrain the market recovery to some extent. Policy change will be a key variable in shaping market trends. On demand side, more easing of the purchase restriction and the optimization of the housing demand will help, while the supply side additional measures to support developers and reduce unit rates will help accelerate the market stabilization. Thank you.
Operator: Thank you. Your next question comes from Thomas Chong with Jefferies. Please go ahead.
Thomas Chong: [Foreign Language] Thanks management for taking my question. My question is about our new home business. Can management comment about why our new home is doing better than the industry? Can we also comment about the output of new home and the trend about the monetization rate? Thank you.
Tao Xu: Thank you, Thomas. In the first half of the year, our new home business continued to significantly outperform the industry. Supported by our robust operational and execution capability, our housing transaction business continued to achieve our target of outperforming the market and consistently generate [alpha] (ph). In Q2, our new home GTV reached RMB235.3 billion, down 20% year-over-year, but was up 55% quarter-over-quarter. GTV of CRIC's Top 100 real estate developers grew by 35% year-over-year in Q2. In June, our new home's contract transaction volume increased by 12% year-over-year, compared with the industry's 22% drop, notably outpacing the market. In addition, our revenue in Q2 surpassed our GTV. This indicates, first, that we have not compromised our monetization capability to gain market share. On the contrary, our stable monetization capabilities have been validated. Second, in a buyer's market, by helping downstream agents with special incentives for new home sales can facilitate more efficiency sell-through in the current market. The certainty of our business momentum stems primarily from our channel service coverage function and enhanced sell-through capabilities. In terms of the cooperation with the real estate companies, the relationship between brokerage channels and developers are setting the stage for a new and a new mutual beneficial model. Historically, brokerage channels and developers had a more competitive relationship. However, as the new home market becomes a buyer's market, selling home has been more challenging and the customer needs have changed substantially. The role of the sales channel in the industry transitioned from the simply mixed deal to providing deep insights into the customer needs and collaborating with developers to address new buyers' pain points. Riding this trend, we have been advancing our reach and evaluating the depth and the breadth of our partnership with top-tier developers. This year, we further expanded the coverage of the core state-owned developers and high-quality leading real estate companies better meeting their needs with innovative new home services. By the end of Q2, we doubled the number of developers we have strategically collaboration to 25 from 13 in Q2 last year. The sales from our strategic partner developers accounted for 26% of our total new home GTV in June, 11 percentage points higher than the same period of last year. In June, the number of our cooperative new home projects accounted for 62% of all new home projects across cities where we operate, excluding Beijing and Shanghai, compared with 49% in the same period last year. Regarding our focused sell-through capabilities, previously, we relied on a labor intensive approach. But this year, empowered by the technology tools, we strengthened the refund operation and promoted the conversion of a potential new home customer from the new home market. We continually boosting the new home sell-through. In terms of the man power, the number of new home agents on our platform notably increased. This year, we expanded the role of the comprehensive agents so that more agents can engage in both new and existing home business in parallel. For example, the number of the new home agents in Zhengzhou for Q2 was around three times than what it was during the same period last year. Incentivized by more competitive commission rates and the improved timely delivery of pre-sale homes, agents have increased the willingness to engage in new home sales. Technology wise, we further iterate our potential customer products to help agents better identify high potential new home buyers who are likely to make a new near-term purchase, while uncovering the potential new home buyers from these new home customers, accelerating new home customers' transaction efficiency. In Q2, potential new home customers identified by this product accounted for around 5% of our overall new home sales, contributing about 70% of the new home sales. Additionally, through our innovative service solutions like the exchange of the old home to new one, worry-free repayments, worry-free renovation, and the home rental option during the housing replacement will attract diverse client needs surrounding new home challenges, improving the efficiency of the new home sell-through. Thank you.
Operator: Thank you. Your next question comes from Eddy Wang with Morgan Stanley. Please go ahead.
Eddy Wang: [Foreign Language]. Thank you for taking my question. My question is regarding the growth strategy of our home transaction service, what's the emphasis on Lianjia and -- Lianjia respectively? And how's the feedback from the store level so far? And what's the innovatives in the cities where our business are quite stable? Thank you.
Tao Xu: Thank you, Eddy. This year, our core strategy for home construction business is promoting growth and building a harmonious ecosystem. In the first half of this year, we achieved notable results in scaling connected stores and exploring innovative models. In terms of scaling our agent and store network, by end of Q2, the total number of active non-Lianjia stores on our platform increased to 38,900 and the number of active Lianjia agent rose to 308,000, up by 6% and 2.8%, respectively, compared to the end of 2023. In the first half of this year, we added 48 new major brands. During this period, over 6,500 new stores were signed with our platform, averaging around 1,200 new signing per month, with a six-month retention rate of 93% for these new stores. For the newly connected stores, we provided fee discounts, installment plans, and other support for those brands. We also added their operations with experienced store owners and tailor-made integration plans. In terms of efficiency, three months after signing up, the productivity of agents in the new stores connected since last September reached over 80% of the productivity of the agent in the in-store on platform. Additionally, we help stores in some key cities enhance efficiency through refined operations, such as property inventory checks, quality home listing focusing, verification and reviewing. This was also aided by technology driven tools, including our AI housing matching and smart home listing mechanism assistance. We're also seeing good returns from the investment in-stores function. The new stores singed in Q4 for last year have achieved a positive ROI as of June this year. Four new stores opened in Q1 this year. Their net revenue contribution in the first half of the year has already covered the estimated expenses. The continued scaling of our regional store network as well as diversifying our business from the housing transaction to one stop residential services help place the higher and more urgent demands on our platform ecosystem. This year, we further extended the coverage of the Regional Core Governance Council to 74 cities by end of Q2. By working with like mainly the service providers, we gather valuable suggestions for its rating platform rules, granting more power to store owners and agents in terms of their business, and for the governance and fostering healthy industry competition. With Lianjia as a testing ground of our platform, we have explored a series of innovation in the agents store model to facilitate our transformation to one stop residential services, focusing on improving agent's income [indiscernible] the large store model. At the first half of the year, around 51% of stores had more than 18 agents, an increase of 5.4 percentage points from last year. Consequently, the attrition rate for Lianjia agent decreased to under 4%. This success was also the result of Lianjia's strategic approach on the large store model. Alongside the large store model, we are implementing the various store formats to better serve demand in different community settings. Shanghai Lianjia, for instance, explore the different store types, specifically by leveraging low cost convenience stores that boost fast investments and target coverage. Shanghai Lianjia increased this service density. By end of Q2, our coverage rate of the home listing in the operation area in Shanghai increased to 87% from 76% during the same period last year. Simultaneously, we established flagship stores with more home related elements, becoming gateways for one stop residential services. In addition, we are exploring higher frequency community connections by brand crossover line stores. Among our ventures, we have launched store staff with agents who have home renovation expertise and standards completed by the display of the renovation process and the technique. This approach promotes early customer acquisition for our home renovation business and forges closer ties with the community. Regarding the talent development, Lianjia has segmented the recruitment to three key areas including college graduates, call center professionals, and community experts. We offer a variety of programs to support newcomers through their initial growth period, helping to build a high quality team of the service professionals. Moving on to store management leadership. As a cornerstone of our One Body, Three Wings strategy, Lianjia has also rolled out a leadership program for store operators designed to train well rounded management talent, specialized in residential services, and promote the long term career development for the service providers. Thank you.
Operator: Thank you. Your next question comes from Timothy Zhao with Goldman Sachs. Please go ahead.
Timothy Zhao: Great. Thank you, management, for taking my question, and congrats on the very robust result. And my question is on your non-home transaction business, including the home renovation and furnishing as well as the home rental business. And I'm pretty glad to see that the contribution margin of the both businesses expanded year-on-year in the second quarter. So may I ask on home renovation, what management key operating focus is for this year? And what is the progress so far? And on the home rental business, could you share some color on how we should look at the unit economics of this business? And what is the key drivers behind the profitability improvement? Thank you.
Stanley Peng: Thank you, Timothy. Let me answer your first question regarding the home renovation. Our home renovation business reached over RMB10 billion of the revenue last year with the standout performance in leading cities that validated our business capability and model. This year, we are shifting our focus on building important infrastructure and capabilities. This includes upgrading our digitalized fundamental capability and the reinvesting process based on our Home SaaS system as well as optimizing our construction delivery and customize the furniture delivery capabilities. Mid-office digitalization is the archery of our entire home renovation business. It connects service providers and enable all home renovation activity to run smoothly under our continually refined and standardized process. Implementing mid-office digitalization through our Home SaaS system, we have iterated this system to Version 2.5 this year and are promoting it nationwide. So far it has been successfully adopted in Beijing, Shanghai, and Chengdu. Home SaaS covers five major sectors, customer's cell systems, central control system, construction delivery system, and supply chain system. Compared to previous version, Home SaaS 2.5 mainly upgrades two modules, the BIM shared service center mid-office module and the integrated material fulfillment module. Among them, the BIM shared service center mid-office module can automatically generate price codes for the renovation based on the standardized construction drawing from B, thereby improving designer efficiency and reducing error rates. All design and construction data will be stored in the middle of the system for future iteration. In terms of the material fulfillment integration, we have promoted the standardization of the product data and achieved online unified scheduling for various main material categories to increase the certainty of material delivery. Regarding the improving our delivery capability, we shortened the delivery timelines and enacted the proactive maintenance of the construction delivery. This year, with the high order dispatch efficiency and streamlined construction process, we reduced the construction timelines to combine the construction period for basic construction and the main material reduced from around 111 days last year to around 100 days in this Q2. We also implemented proactive maintenance service nationwide. We now provide free maintenance and repair to customers home at the fifth and second -- 22nd the month after the construction to address the common issue like wall cracks, our goal is to detect and repair them earlier. In addition, our upsales team has grown from over 200 by the end of last year to more than 400 people by June this year and we plan to keep responding. We also substantially enhanced our capability in customized furniture delivery. By setting relevant standard and enhancing training, we improved the success rate of one-time installation to around 80% in the first half of this year. The home renovation process is complex as it involves a wide range of personnel and diverse products. Transforming the industry cannot be accomplished through a single brick suit, it requires continuous development of various capabilities across middle-of-age digitalization, project delivery and product development. In the long run, this endeavor will eventually bring about high quality change. Regarding your second question for our rental business, in Q2, revenue from the big rental service with RMB3.19 billion, increasing by 167% year-over-year and 21% quarter of a quarter. This growth came from the rapidly increasing number of home units that we managed and operate under our Carefree Rent model. We are managing over 300,000 units by end of Q2 compared with over 240,000 last quarter and over 120,000 at the same time last year. The number of units managed under our centralized long term apartment has reached over 14,000 by the end of Q2 compared to over 7,000 in the same period last year. In terms of our Carefree Rent model, we improved our business unit economy. We provide service offering to address tenants' major pain points such as home maintenance and the rental change to enhance our service quality, while providing timely and high quality response to tenants’ issue. This led to a roughly 20% decline in customer compliance in June compared to the beginning of the year. We meaningfully improved the leasing efficiency and cut vacancy costs through the following efforts. Number one, on the product front, we have been consistently expanding the coverage of our new home model -- our new product model since last year, which incurred no vacancy period. Its share increased about 6 percentage point in Q2 from Q1, reaching 26%. This effectively reduced the vacancy cost and enhanced our resilience against the rental price changes. The preparation of this type of product module will continue to increase in the future. Number two, the success rate of the first time rentals after the commencement of our property management contract increased from 82.2% in Q1 to 86.6% in Q2 and the amortized compensation cost per unit also decreased. Number three, as we advance our Carefree Rent model, our operational focus has shift from the first time rentals to re-renting the same property, focusing on leasing renewal and presale lease, our business process is divided into the different stages with proactive intervention before the leasing is ending. This increase the turnover rate of the re-rented property from 3.1% in Q1 to 3.9% in Q2. And the time required to rent out a property for the second time decreased from 9.8 days at end of Q1 to 7.5 days at end of Q2, accelerating the rental efficiency while lowering the vacancy cost. Number four, we also build up the rental capacity through the dedicated positions and improve the productivity. We have strengthened the dedicated rental agent, nurturing stable rental channels by leveraging top performing agent with strong commitment and capability in Carefree Rent. We also established a dedicated team of our commanders for more tenant rental occupancy, achieving the greater efficiency in business lead in utilization, and targeted rental of the key listings while reducing the vacancy rates. The productivity of our account managers in facilitating renting out improved from an average of 8.8 units per month at end of Q1 to 10.2 units per month at the end of Q2. In Q2, the proportion of the combined rental occupancy by dedicated rental agent and account manager go to 6%, an increase of 6 percentage points from Q1. Beijing also achieved a breakeven in the first half of the year by a managerial accounting on the city level. By end of June, the number of units managed by the capital revenue in Beijing reached nearly 76,000 with a occupancy rate of 98.2%. Despite the scaling up the number of properties under management, which has led to a front leading adverse cost. We achieved break even in Beijing, this has substantially increased our confidence in the business. Thank you.
Operator: Thank you. We are now approaching the end of the conference call. I will now turn the call over to your speaker host today, Ms. Siting Li, for closing remarks.
Siting Li: Thank you once again for joining us today. If you have any further questions, please feel free to contact Beike's investor relations team through the contact information provided on our website. This concludes today's call and we look forward to speaking with you again next quarter. Thank you and goodbye.